Operator: Good morning. My name is Rob, and I will be your conference operator today. At this time, I would like to welcome everyone to Atkore's First Quarter Fiscal Year 2024 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. Thank you. I would now like to turn the conference over to your host, John Deitzer, Vice President of Treasury and Investor Relations. Thank you. You may begin.
John Deitzer: Thank you, and good morning, everyone. I'm joined today by Bill Waltz, President and CEO; as well as David Johnson, Chief Financial Officer. We will take your questions after comments by Bill and David. I would like to remind everyone that during this call, we may make projections or forward-looking statements regarding future events or financial performance of the company. Such statements involve risks and uncertainties such that actual results may differ materially. Please refer to our SEC filings and today's press release, which identify important factors that could cause actual results to differ materially from those contained in our projections or forward-looking statements. In addition, any reference in our discussion today to EBITDA means adjusted EBITDA. And any reference to EPS or adjusted EPS means adjusted diluted earnings per share. Adjusted EBITDA and adjusted diluted earnings per share are non-GAAP measures. Reconciliations of non-GAAP measures in the presentation of the most comparable GAAP measures are available in the appendix to today's presentation. With that, I'll turn it over to Bill.
Bill Waltz: Thanks, John, and good morning, everyone. Starting on Slide 3, Atkore is off to a strong start for FY '24, and we are demonstrating the structural improvements and transformation that we made to our business over the past several years. I'm proud to share that volumes for the quarter were up 13%, driven by contributions across all key product areas. We're focused on executing our capital deployment model as evidenced by the $96 million in shares repurchased in the first quarter and the continued activity in January. In addition, I'm very pleased to announce that we've officially declared our first quarterly dividend, a very exciting achievement for our company. I also want to highlight the release of our fiscal year 2023 Sustainability Report, which was published last month. This report provides an update on the progress against our 2025 targets and covers additional important topics and initiatives.  I'd like to take a moment to thank all of our employees for everything they do to support our key stakeholders. Overall, in fiscal 2024, we're off to a great start, and I continue to be excited for what's to come. With that, I'll now turn the call over to David to talk through the results from the first quarter and our outlook for the full year.
David Johnson: Thank you, Bill, and good morning, everyone. Moving to our consolidated results on Slide 4. In the first quarter, net sales were $798 million and adjusted EBITDA was $214 million. We are pleased with our margin performance in the quarter with adjusted EBITDA margins over 26%. Our tax rate in the quarter was favorable due to the vesting of previously granted stock compensation. This outsized benefit was unique and contributed to our strong EPS performance. Moving forward, we expect the rate to be closer to roughly 25% for the remaining quarters in the year. Turning to Slide 5 in our consolidated bridges. I'm pleased by our strong volume performance in the quarter with organic volumes up over 13%. These gains were offset by the continued pricing normalization, but this impact was within expectations and aligns with the pricing trends we have been discussing for the past several years. Moving to Slide 6. We're making good progress against the low double-digit volume expectation for the full year, with solid contributions across all key product areas. Our plastic pipe and conduit category was up high-single digits, led by solid growth in our PVC products. Across our electrical-related categories, volumes were slightly higher than anticipated in Q1 and several large customers met their calendar year-end rebate levels. Looking ahead, we expect Q2 to be softer than Q1 in terms of year-over-year volume percentage growth due to this timing of purchases at year-end and the recent severe weather conditions that have unfavorably impacted our January performance. Turning to Slide 7. Both segments had positive volume growth in the first quarter. Margins compressed in our Electrical segment with the previously mentioned pricing normalization that remained very strong at 34%. We also faced some year-over-year margin compression on the S&I side due to a cost comparison versus the prior year and the planned start-up costs in Indiana to support the volume ramp. Turning to Slide 8. We continue to execute our capital deployment model with cash generated from the business, and our balance sheet is in tremendous position with no maturity repayments required until 2028. Next on Slide 9, I am pleased to highlight a significant milestone for our company with the upcoming payment of our first regular quarterly dividend. Earlier this week, Atkore's Board of Directors approved the first quarterly dividend payment of $0.32 per share. This achievement was made possible by our sustained performance over a multiyear period and our confidence in the future. Now for our fiscal year 2024 outlook on Page 10. Our expectation of low double-digit percentage volume growth for the year remains on track. Also, with our strong EPS performance in Q1, we are increasing our full year estimate accordingly. As previously mentioned, our performance in January was impacted by several factors, including the adverse weather conditions in many parts of the U.S. This is affecting our estimates for Q2, but overall, we are maintaining our outlook for full year net sales and adjusted EBITDA. Also, as we've discussed before, we've always built in an expectation that the back half of the year will be stronger than the first half for two main reasons. First, as we are ramping up these new facilities, our volume from these sites will steadily increase throughout the year. And second, our overall business is always stronger in the spring and summer construction seasons versus the fall and winter. Therefore, we expect adjusted EBITDA to improve sequentially from Q2 to Q3 and then Q3 to Q4. With that, I'll turn it back to Bill.
Bill Waltz: Thanks, David. We are very pleased with what we've accomplished this quarter and our outlook for this fiscal year, but we're even more excited about all the opportunities ahead. Moving to Slide 11. As we've said before, the electrical industry is a great place to be. It's difficult to find a building or infrastructure project that does not require Atkore's products. With over 90% of Atkore's product portfolio supporting electrical infrastructure, we are well-positioned to benefit from the strong electrical trends projected across numerous end market categories. On Slide 12, we've analyzed product volume data to determine estimated density across key end markets. With anticipated growth in data centers, manufacturing, lodging, health care, education and multifamily over the next five years and Atkore's ability to deliver a wide range of products that each of these buildings need. I am again reminded that Atkore in electrical industry overall is a great place to be. Better yet, consensus agrees. Experts and peers across the industry also have a positive outlook on 2024 and beyond. In addition, with several other major public electrical contractors and electrical peers reporting record backlogs and project positive growth, it reinforces our confidence in the future for this industry. With that, we'll turn it back to the operator to open the line for questions.
Operator: [Operator's Instructions] Your first question comes from the line of Andy Kaplowitz from Citigroup. Your line is open.
Andy Kaplowitz: Hi, good morning, guys.
Bill Waltz: Good morning.
Andy Kaplowitz: Bill or David, I know you've guided to relatively strong volume growth for the year, but you did have a nice positive bump in electrical volumes in Q1. I know you mentioned some of the bigger customers pulling forward their volume. But maybe you can quantify how much that -- was that pull forward? Did you at all see a turn in your HDPE markets? And could you quantify the weather impact in Q2, how much that could impact Q2 results?
Bill Waltz: Yes. I'll start, Andy, and then turn it over to David always with what level of specificity here. But, first, HDPE, very much on track where we expected. But as David said in the past, it's more of a fiscal '25. And you can see that with, I won't call it other public corporations, but even large fiberoptic companies have announced earnings recently. It's almost that their slide could have been interchanged with ours or what we've communicated there. And again, we can follow up with why we think that here in a moment. What we saw, and this is common for every year is, we said and the industry said, it's not just us. Rebate levels go if you hit X number volume dollars, we'll give you whatever 2%, whatever the number rebate is back, and we try to stay firm to that. So some of our customers literally just said, Okay, we understand. And I'm assuming when we saw a spike in December, it was to get to their goals. So a little soft there. And then not a surprise, I think, for anybody in January here that with the weather across the country, for example, us talking to our customers, for example, one large customer, I won't be overly specific here, but had over 50 of their locations down for at least two days or more dealing with the weather. So with those two things, January was light. And -- but again, if you add up the strong organic growth in Q1 with what we're kind of forecasting per se without a precise number in Q2, it's basically averages out and bridges exactly to what we have for the year. So again, to me, it's a good comfort thing that we're still on track and actually raised EPS. So hopefully, somewhere in that level, I answered your questions.
Andy Kaplowitz: You did, Bill. But let me sort of step back. I think you talked about contractor backlogs. When you step back, obviously, the lead indicators are kind of all over the place, still may be stabilizing at lower levels. Are you seeing sort of any changes in primary markets? We already talked about HDPE, but clearly, things like data centers are ramping up. You've been working on undergrounding. So like are things sort of better than they were a few months ago as rates have come down worse? Like how do you sort of frame the market at this point?
Bill Waltz: Yes. I think either consistent, but definitely not worse. So let's put it that way. So, Andy, to your point, there's so many metrics out there and which metrics are relevant or even over time, how metrics evolve on the importance. And one of the ones that, at least I'll say I, but Atkore's gravitating to that we don't talk about in the earnings deck, I don't think, but was Association Of Building Contractors. There's still high 8-plus months. I forgot exactly 8.6, 8.8. But I do recall two things, for example. One, in December they actually increased the 10th of a month. So if their backlog is going up and then here in the last two days, the Association Of Building Contractors said about they have even higher number of open jobs as they put jobs, literally, we could have written their script on the biggest constraint to Atkore.  And it's a good thing, isn't the market. So whether you read ABI or something like that, it's literally there is around nine months of backlog right now with contractors, ABI or ABC would talk to that. And to the point of as other skilled trades, whether it's a maintenance manager someplace else, may have slowing hiring, it's actually the economists for Association Of Building Contractors said how that's good for the industry, so they can hire more people. So Andy, at the end of the day, I'm pretty confident. We can talk about Q2 versus Q3 and when things ramp up and our own self growth initiatives, but the backlogs are out there for us and everybody else.
David Johnson: Yes. Andy, if you look at construction employment continues to go up, although the estimate from this week from the contractors association said that they estimate they need around 500,000 more new folks entering construction. And that's over and above the net normal. So there is a lot of work out there. I mean, when we talk about the contractor backlog and being around it, that's about the size it's going to be because people are going to take jobs two years from. So I think that's just a really healthy rate. This is around, again, getting folks who can actually execute some of these projects.
Andy Kaplowitz: And one more for me. I know you said Safety & Infrastructure includes $7 million of start-up costs, but did you contemplate those costs when you were thinking about when you guided us to Q1? How are you factoring in any incremental start-up costs going forward? And was there anything else holding down Safety & Infrastructure margin?
Bill Waltz: Yes, I think, Andy, we're on track. So both the fact that -- like, one simple way to do this is, we hit our guide for Q1, actually exceeded the guide in the range slightly. Some of that now, again, is just the volume pull ahead. I don't want to -- again, our transparency, but it was a good quarter, and we're on for the full year for EBITDA and I'll make the plug again on EPS. So it's -- and one other thing, I know David wants to jump in here, too. Realize with a large complex factor, I think one a while shareholders forget it's like, Oh, you're just making a torque to, every size is different. Is it octagon, is it circle. You can't do those things until you're actually up and running, you don't have the air permit. So literally, you need all the machinery tuned for every new size, determining things like whether you're using MIG or TIG welding, there's just so many different complexities there that we knew it's going to take all year to ramp up. But as David said in the prepared remarks, that's why also as we look for our guide for the year, you'll see a ramp-up as we continue to hit our volume numbers and so forth. So both confidence in our -- as much as you can be, confidence in our year-end outlook for EBITDA, confidence in our volume numbers as things pick up through the year.
Andy Kaplowitz: Got it. Thanks guys.
Bill Waltz: Yes. Thanks Andy.
Operator: Your next question comes from the line of Deane Dray from RBC. Your line is open.
Deane Dray: Thank you. Good morning, everyone.
Bill Waltz: Good morning, Deane.
Deane Dray: It was great to see that volume come through this quarter, especially like Slide 6 that shows you that balance across the portfolio. So good to see that.
Bill Waltz: Yes. Deane, thank you for that. I mean, purely from the standpoint, it wasn't -- once in a while, we get focused on one product line versus it wasn't a one-trick pony. Every product line was up there. And then also, I think what that chart shows is, well, for example, PVC and HD is important, it's 31% of our sales. So there's a lot of other great products, some of which we're doing really well on pricing with and so forth. So it's a good environment for Atkore.
Deane Dray: Great. And that takes me to the heart of the question here is, take us through the pricing dynamics this quarter. And I know the recovery and the normalization is not going to be linear. But what were the specific dynamics this quarter, input costs, competitive positioning, where the demand was? I know geographically, that's a factor as well. But just take us through those dynamics, if you could.
Bill Waltz: I'll start and then again, David would like to add specificity to this with the charts. I'd say it's overall on track. Again, without getting into each product line, they're some are a little bit lower, but there is absolutely some going, hey, general manager and sales team, keep doing what you're doing here. And I can think of -- and again, if you go back to Page 6 reference, without me calling out specific of these products in at least two of those categories, maybe more, others have led price increases. So I think we're a price leader, because we have that one order, one delivery, one invoice, and we have the ability to bring more value than many of our competitors to the industry, but we're not the only one out there thinking about how you give good returns to their shareholders. So right on track overall.
David Johnson: Yes. And Deane, when you look at the -- in Slide 5, if you net on the EBITDA bridge, the price versus cost changes, you're around $90 million, and we had guided, I believe, a midpoint of around $150 million for the year. That was always going to be more front-end loaded, year-over-year if you look at that, because pricing went down all last year sequentially. So I would say to go to what Bill said, we're definitely on track from our expectations for the year.
Deane Dray: Got it. And that kind of takes me to the next question on the assumptions first half, second half. And I get the seasonality piece, it's clearly -- that's the construction season that drives that second half. But just there's such a disparity here in first half EBITDA. If I have the numbers right, year-over-year, down 22% and then second half coming to almost even to last year. So is that the expected ramp between the 2? And how much of that -- and I get the volume part, because we're seeing that come through and we're believers in the end market demand. So is pricing the key component there?
David Johnson: So a couple of things. I would look at it more sequentially in the year of FY '24. Because when you compare it versus FY '23 of last year, we still had some really strong quarters at the beginning of the year as pricing went down through the year. So said another way, our comps will get easier at the back half of the year. So when you look at what we have in the second half of our fiscal year this year versus the first half, you will see a number that you'll need like in the $240 million, $250 million kind of EBITDA range versus the $210 million, $215 million or whatever average for Q1, maybe a little bit lower than for the first half. That is definitely, again, increases in Cobar, normal seasonality where you see the construction season picking up. And then pricing firming versus last year where pricing was still going down. So I think if you add that all together, I would say the seasonality is fairly atypical. Just a little bit more back-end loaded because of our growth initiatives hitting in the back half of the year.
Deane Dray: All right. That was really helpful, David. I appreciate the precision, especially the reminder about the dynamics second half and those of last year and the comps. So that was really helpful. And just last one for me. You referenced the Indiana plant. Can you give us an update, the start-up? Where does it stand in terms of productivity, efficiencies and so forth?
Bill Waltz: Yes. So first thing -- but Deane, to your question a little bit how I answered with Andy, it's on track. So now on track means that, as David called out and we had the $7 million, it's not generating the profits that we expect long term, but that's to be expected. If you just -- again, the complexity of every product SKU, it's not like starting up a light bulb factory or a ketchup manufacturer that you just have one SKU and you run it, it starts or it doesn't start. Here its each customer, each product, running it, taking the machines down for a couple of days, bringing up a second ship, bringing up a third ship. But we're still -- I mean, we have a phenomenal leadership team there, and it's progressing. Basically, is the way we expect it is, their profit short term as you get a plant up and running, yes. But it's -- again, to me, the reaffirmation is we have the forecast for the rest of the year. We're still on it. Everything is moving as expected at this time.
Deane Dray: All good to hear. Thank you.
Bill Waltz: Thanks Deane.
Operator: Your next question comes from the line of Chris Moore from CJS Securities. Your line is open.
Chris Moore: Hi, good morning, guys. Thanks for taking a couple of questions. Maybe just on PVC pricing for January, was there a much change?
Bill Waltz: No. Not that -- I mean, we expected volume, Chris, like a lot of our products, you can imagine, especially the products that go underground, which is PVC and HDPE and so forth there, probably fiberglass conduit. Again, these are smaller lines, fiber that's actually go under bridges, so misspoke. But those types are definitely being impacted by the weather across the country, but pricing basically on track. And we've put in one or two price increases. It's harder when the demand isn't there to get them to realize, but we're still optimistic going forward on these attempting to push the prices in the industry up.
David Johnson: Yes, Chris, as you recall, our backlog is less than a couple of weeks. So we do kind of every week look at where volumes are and what have you. And like Bill mentioned, we mentioned in our prepared remarks, January was light due to several factors. The first start of this week has been much stronger, so we'll see -- and versus our expectations here in Q2 how it lays out for the rest of the quarter.
Chris Moore: Got it. Appreciate that. Maybe just one more on Indiana. So obviously, you talked quite a bit about the driver from The Inflation Reduction Act. You guys are getting up and getting going. How would you characterize kind of demand for torque tubes overall? And how would you view that kind of against the current domestic capacity to meet that demand? Is it enough beyond where you guys are at? What are you seeing overall? 
Bill Waltz: Yes, Chris, the best I can tell -- and again, its estimates and so forth, is there more demand out there than capacity in the industry as we go forward. And again, I think as we've given prepared remarks or answers to questions over the years, and again, others including public customers, could probably comment on this. But with The Inflation Reduction Act, it should move all the volume into the States, which is a great thing for the U.S. and its economy. But that literally -- even if the solar market did not grow, which we'll come back to in a second, doubles the amount of slower torque tubes, and right now, I don't think that capacity exists by anybody out there. So again, as we add the capacity of fine-tuning, getting multiple shifts up, I have to believe some of our competitors are doing the same thing and so forth. But you add doubling the size of the domestic torque tube market, plus whatever double-digit plus growth of the solar market, I don't think anyone would dispute that. It's a really healthy and exciting market for both Atkore and I think just the country as we become more carbon free.
Chris Moore: I appreciate that. Maybe just one last one here. Obviously, you guys sell the majority of products through distributors. But you've talked about marketing efforts that go kind of way beyond this distribution channel, developing relationships with the big players in markets like array makers, fab owners, et cetera, with the goal of becoming a partner. Just wondering if you can provide kind of any update there and thoughts on -- I know that's a longer-term process, but kind of how are you viewing that?
Bill Waltz: It's really -- I'd say it's almost, Chris, I'm teasing because we did not do this, but if you were to give me a softball question here. To your point, it's a multiyear process, but what I'm proud, I think we did a press release here in the last month or 2, was NECA, which is the National Electrical Contractors Association so represents all the construction contractors in the electrical space that are union, that is equivalent nonunion organization, named us as one of like the premier partners. And to give you a feel, there's around 13 give or take premier partners, and that's everything from a freight carrier to electrical -- like energy generator company for their plans, tools. So in our space across PVC products, across steel conduit products, across metal framing products, you just go through, we are the only premier partner basically for all of our set of products there. There are some other product manufacturers in certain spaces. But it just shows the relationships that Atkore is building out there. It's a real complement to our organization, our products, our value in the partnership we're doing. So it's exciting, Chris.
Chris Moore: Got it. I appreciate that. I will leave it there.
Bill Waltz: Thanks Chris.
Operator: Your next question comes from the line of Alex Rygiel from B. Riley. Your line is open.
AlexRygiel: Thank you. Good morning, gentlemen. A very nice quarter.
Bill Waltz: Thank you, Alex.
AlexRygiel: A couple of quick questions here. First, as we think about the second quarter guidance versus the first quarter, directionally, what does your guidance imply for price and volume? And I guess what I'm getting at here is, have we seen the correction in raw materials sort of fully reflected in either the first quarter or the second quarter guide?
David Johnson: Well, I would say in the second quarter guide, we get from our comments, that our volume year-over-year we expect it to be lower than it was in Q1 as a growth year-over-year. But still a growth -- modest growth year-over-year. I would say pricing, when you look at one of these, and there's been -- steel's been its way up now, maybe on its way down, what have you. I think that, that gets reflected fairly quickly in our numbers. We are able to price on a daily basis. We might not see an increase or decrease as for weeks as we work through our inventory. So I would say it's pretty dynamic. So there isn't really a situation where it lags in any meaningful way, except for the S&I segment where that tends to be more quarterly based. And so a little bit behind when steel is on its way up, a little bit of headwind steel is on its way down. But that, again, tends to normalize over a couple of quarters.
Bill Waltz: And then Alex, if I can bridge off your question a little bit. Again, David's better giving you the bridge. But just for you or other shareholders out there, the way we think about our profit and pricing, first thing is just general industry volume. Obviously, there's tight capacity like any product, you can sell for more, because you have multiple options and multiple customers that want it. So volume. Second thing where, I think, we are absolutely the industry leader is our capability, and we're really doubling down on this like a one order, one delivery, one invoice that just is a competitive, sustainable advantage that I don't think anyone else can match period in the next decade. My own personal opinion. Then it gets to where your question was to go, okay, steel up, is steel down. And I think David answered there, we do a nominal -- real-time pricing that it's not a large driver of our EBITDA, for example.
AlexRygiel: And then secondly, can you give us an update on the expansion of your distribution centers?
Bill Waltz: Yes. So great -- wow, great question there, not that every other question hasn't been good. We're right on track with the following things. We have several of them up and running well. Now we're working on one in the Dallas area and one in the Atlanta area. We have the facilities, purchased, leased, we're putting in racking, starting to bring products up. It's really also -- and then as David talked earlier to other questions, so we talk about this fiscal year and go, Hey, to Deane Dray's question, like bridge me the average $210 million to the $250 million the second half of the year, I think, the RSCs are more of a thing that's going to help us in fiscal year '26 just to go until we fully get them up and fully get the value prop. We're getting it now, but the leverage of that as we go forward is what again gives us confidence in the $18-plus EPS that we put out there a couple of years ago now.
AlexRygiel: Very helpful. Thank you very much.
Bill Waltz: Thank you, Alex.
Operator: Your final question comes from the line of Chris Dankert from Loop Capital. Your line is open.
Chris Dankert: Hi, morning guys, thanks for taking the question.
Bill Waltz: Thanks Chris.
Chris Dankert: I guess, first off, you mentioned there was probably some -- a little bit of rebate buying to hit those break points at the end of the year here. Do you feel like distribution inventories are still in a good place as we kind of move into the second quarter here? So maybe any kind of comment on how you see the inventory landscape at the distribution level?
Bill Waltz: Yes. I think we're back, and God bless here, to normal pre-COVID. In other words, there's inventory out there, but its appropriate amount for this -- at this time of the year. And then as we get, like, it's hard to predict to David's earlier point, with one or two weeks of backlog, are we talking in March or April. But sometime, customers will even put more in because they know the spring season and summer season will be stronger, and therefore, will start to stock up more. But at this stage, right on track. And I wouldn't say they're low, but they're definitely not high. And there's no reason to be. In other words, back to earlier questions, commodity prices are pretty stable. We could talk about steel going down a little bit, PVC may be going up a little bit, those type of things. And even our pricing, while we always aspire to increase our pricing. So there's no dramatic swings or supplier shortages. So business is back to normal.
Chris Dankert: Glad to hear that. And then maybe just to zoom out to the 30,000 feet for a second. Obviously, competitive dynamics don't swing too much quarter-to-quarter. But certainly, we're getting a lot of questions on just are there any changes in the competitive landscape? I mean pricing would suggest there's nothing dramatic going on at the moment. But maybe just a quick comment on how you see the competitive landscape and what's going on and what might be changing a little bit incrementally here?
Bill Waltz: Nothing of significance. There's always minor players that try to enter noise level things, so somebody importing a product because of things. But literally, there's as much opportunity without me getting specific on things the U.S. government may do. Or he saw flashes this morning if Trump was elected, he would stop imports and all the different things. At the end of the day, it's the earlier questions of, there's the demand out there, almost nine months of contractor backlog. It's our self-help things of growing with the solar industry, growing with HDPE and so forth, that those are really the drivers of the business.
David Johnson: Yes. And Chris, just remember, I mean, I think we've talked about this many times. You still have to have agents, you have to have distribution, you have to have a brand that people know. I mean, so there are a lot of reasons why like we do well and that the competitive landscape is fairly stable year-over-year.
Chris Dankert: Makes sense. Well, thanks so much guys and congrats on a nice start to the year here.
David Johnson: Thank you.
Bill Waltz: Thank you, Chris.
Operator: This concludes the question-and-answer session. I would now like to turn the call back over to Bill Waltz for closing remarks.
Bill Waltz: Thank you. Let me take a moment to summarize my key three takeaways from today's discussion. First, Q1 was a solid start to the year with organic volumes up 13%. Second, the declaration of our first quarterly dividend is another recognition of our structural improvements in transformation over the past several years. Third, with a great team, product portfolio and strategy, supported by strong secular tailwinds, we believe the best is yet to come at Atkore. Before we conclude today's call, I would like to mention a planned rotation of key talent that demonstrates the Atkore business system at work. John Deitzer will be transitioning into the role of VP of Electrical Finance; and Matt Kline, who is currently our VP of Electrical Finance as well as the General Manager of our Fiberglass Conduit business unit will be moving into the Treasury and IR role. We wish them both continued success in their new positions. With that, thank you for your support and interest in our company. We look forward to speaking with you during our next quarterly call. This concludes the call for today.
Operator: This concludes today's conference call. You may disconnect.